Operator: My name is Darita and I will be your conference operator today. At this time, I would like to welcome everyone to the DaVita Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. [Operator Instructions]. Thank you. Ms. Zumwalt, you may begin your conference.
LeAnne Zumwalt - Vice President, Investor Relations: Thank you Darita and welcome everyone to our third quarter conference call. We appreciate your continued interest in our company. I am LeAnne Zumwalt, Vice President of Investor Relations and with me today are Kent Thiry, our Chairman and CEO and Mark Harrison, CFO. I would like to start with the forward-looking statement disclosure. During this call, we may make forward-looking statements which can be generally identified by the comment... excuse me, content of such statements or the use of forward-looking terminology and includes statements that do not concern historical facts. All such forward-looking statements are subject to known and unknown risks and uncertainties that could cause the actual results to differ materially from those described in the forward-looking statements. For further details concerning these risks and uncertainties, please refer to our SEC filings included in the most recent quarterly report and Form 10-Q and annual report on Form 10-K. Our forward-looking statements are based on information currently available to us and we undertake no obligation to update these statements, whether as a result of changes in underlying factors, new information, future events or other developments. Additionally, our press release and related disclosures include certain non-GAAP financial measures. These measures should be considered in addition to the results prepared in accordance with GAAP and should not be considered a substitute for GAAP results. Also included in the press release is a reconciliation of these non-GAAP measures to the most comparable GAAP financial measures. I'll now turn the call over to Kent.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Thank you, LeAnne. Third quarter was strong and I will provide a review of the usual agenda items: Number one, clinical results; number two, government policy; number three, anemia management and number four, not only the '07 forecast, but a few words on our longer term outlook. Number one, clinical results, which we have always presented first because that is what comes first. We are first and foremost a care giving company serving over 103,000 patients at this time. We are proud to report that our clinical outcomes continue to be among the best in America. I'll reference two of the important outcomes. First, adequacy, which is essentially how well we are doing in removing toxins from our patients' blood. In this quarter, 94% of our patients had a Kt/V greater than 1.2. Second, in the area of anemia management, 83% of our patients had hematocrits greater than or equal to 33. For both of these clinical measures, our patient outcomes are publicly reported and compared very favorably to national averages. They do apply to patients who have been with us 90 days or more. Under the second subject, the Washington DC update, as you know, the House Bill is done, it's called CHAMP, and the kidney community has signaled to both the House and the Senate and CMS and anyone else who will listen that we are willing to be a partner in real reform including bundling, but parts of the CHAMP bill would achieve the opposite of what the House of Representatives is actually hoping for. And so we continue to work with the Senate who are working on their version of the bill, and if they end up completely one, they will then negotiate with the House. And in addition, we are trying to make clear to everyone the sense of social responsibility that we do carry and hold including a responsibility that we have lived up to to keep money losing centers open rather than have those patients denied access to care, and we've done that in many cases and continue to do so. One other thing going on in DC that's gotten quite a bit of press lately, and that's the coordination of benefits provision, MSP, Medicare Secondary Payer as it is sometime referred to. There are a number of large employers and some labor groups that are opposing the extension of the number of months that private pay patients have the right to retain their insurance. I want to be real clear that that's what it's about. It's just that these patients would have the same right that every other chronically ill patient in America has, which is to keep their private insurance if they want to. If they don't want to, if they decide it's not in their best interest, they could drop it and go into the Medicare ESRD program. So it's simply to allow our patients to have the same right as every other private patient in America if that's in their best interest or their families' best interest. So it is a unique... sort of discrimination is the only word for it, and Congress has three other times historically moved to reduce the level of differentiated treatment by moving the number of months from 0 to 12, 12 to 18 and 18 to 30. This is the only place in healthcare where you could pay your premiums for 20 years in a row and then lose your private insurance 2.5 years after you get sick. It is just an unfortunate fact from a policy point of view, moving away from the whole patient rights issue that, because of the Medicare deficit, virtually all the centers in America can't survive unless they have somewhere in the neighborhood of 5% to 10% of their patients in private insurance, of course depending on the rates. It's just necessary to fill the Medicaid deficit. And so we've got a lot of we, meaning the community, the industry, have a lot of rural and intercity dialysis centers, in particular, that are right on the edge as it is. And therefore, for them in particular, the extension is important separate from the importance that comes from the fact that it's a basic patient right. Third topic: anemia management. A lot of things that most of you would know, but just important to make clear and provoke any questions that people would like to discuss, the outcome of any proposed FDA labeling change remains uncertain. They are still working it. The scrutiny and debate around what is optimal anemia management will certainly continue into 2008 as some private insurers are starting to review and be active in this area given all the media attention it's received and some of the CMS attention. I do want to emphasize that when the FDA convened its advisory panel, the positions taken by that panel overwhelmingly validated the perspectives that the consensus kidney care community has been representing for several months. And so many of the very dramatic allegations, acquisitions and criticisms of the previous half of the year were debunked by the advisory panel in votes that were pretty consistently 3:1. This is not to say that there are not unanswered questions in anemia. One of the things that this whole debate has provoked is where there are gaps in having adequate data to be sure of what is the right thing. And so a lot more work is being done and new insights could and probably will emerge which could change physician prescribing patterns in either direction. Now no other drug in renal care or elsewhere would be getting this much attention except for this one, because it's so important, so valuable and it's expensive. And please remember that most of our affiliated doctors do not follow our guideline, and that makes it doubly difficult to forecasting with respect to anemia management. Fourth topic: our guidance. And what about 2007? As you saw in our press release, we are narrowing our operating income guidance for the balance of '07 to a range of $800 million to $810 million that should capture a majority of the probabilities. And that includes the $7 million or one-time settlements in Q3. Therefore, that means that Q4 will likely be in the range of $190 million to $200 million, and this drop in Q4 OI versus Q3 OI does reflect the negative impact of some private rate compression. What about 2008? Our guidance is the same as it was before. In other words, that range is $790 million to $850 million. If we had to predict whether we are more likely to be in the upper end of that range or the lower end, we would predict it's more likely we would be in the lower end of that range. We also want to repeat what we said last quarter, and I think the quarter before, that this guidance range for '08 does not capture as high a percentage of the potential outcomes as our guidance historically has just because there is more uncertainty in more areas. We are just trying to be useful to you by doing the best we can to give a realistic range. But it simply is a period of unusual earnings uncertainty. As to 2009, just trying to anticipate questions and lay the groundwork for our Capital Markets Day coming up in a couple of weeks in New York, we can't provide any specific guidance. We would, if we could. We just can't. All we can say is that if we don't get a Medicare rate update and there isn't an extension of MSP, then '09 could very well be flat or down relative to '08. In other words, our cost increases and some continued private rate compression could very well offset any rate increases on the private side and the normal contribution from volume growth. You net it all out, the big fact is that the timing of private rate compression remains difficult to predict. We clearly think it is going to happen still. And a bit ironically, the worst '08 looks, the better '09 would be on a relative basis. Rate swing factors are not only for private rate compression but also ongoing labor pressures, and then, as was already referred to, just the unpredictable fluctuations in pharma utilization and reimbursement. And the guidance does not incorporate any assumed impact from proposed Medicare legislation, and of course things are very active in DC now. I would like to just to try to proactively address one question that is probably in a bunch of your minds, which is you are clearly taking some hits on the private rate side. What's different? What has changed in the dynamics of payor negotiations? In here, I would say the following. First, what is happening is what we have predicted would happen that the payor industry consolidated and then it took them a while after making their acquisitions to actually integrate them. They are now using that increased power. In addition, separate from having increased power, they are now more focused than before on trying to move non-contracted higher rate patients into lower rate contracts. And in addition to the facts I've already mentioned, this visibility around the MSP issue has and will continue to lead to more focus as well. And also separate from any prior predictions, the emergence of several private equity funded small chains has in a bunch of the more attractive markets, which is to say those markets with more private patients has led to supply growth that exceeds demand growth. And that's had its normal affect and will continue to. So, in other words, in response to the question what has changed is that the payors are doing some things differently and with more intensity. We are doing the same things we have always done. They are altering their investment in this area and therefore, the incrementally different result. And it's important to add that the absolute rates that we are agreeing to still offer a reasonable and sustainable return. I will now turn the call over to Mark, our CFO, and then I'll make a couple of remarks before we move to Q&A.
Mark G. Harrison - Chief Financial Officer: Thanks Kent. I'll address a few questions about our quarter results. First, regarding the major drivers in the quarter. Operating income from continuing operations was $206 million for the quarter, which excludes approximately $7 million in favorable one-time items. OI results were primarily driven by treatment growth, a $4 per treatment decline in dialysis revenue. The primary drivers of the decline in revenue were the lower Medicare EPO reimbursement rate, lower private insurance rates and lower pharma utilization. $1.50 per treatment decline in patient care cost also; the drivers of which were higher labor cost offset by lower self insurance expense, lower incentive comp and lower EPO utilization. The $7 million of one-time settlements were included in patient care cost. Excluding these items, patient care cost per treatment was $233.43 or 68% of revenue compared to 67.9% last quarter. What about cash flow in Q3 and for 2007? DSO increased one day due to a slowdown in collections as we integrate our billing departments. Operating cash flow forecast continues to be $480 million to $530 million in 2007. As we have said before, the billing integration and timing of collections will be a key factor for where cash flow will end up in 2007. In addition, we are still in the process of working through the temporary $40 million increase in accounts receivable from industry wide changes in government forms and documentation requirements that were implemented last quarter. These temporary collection delays are expected to be resolved in the next few quarters. Our CapEx forecast for 2007 continues to be $110 million to $120 million in maintenance capital and $200 million to $220 million in growth capital for acquisitions in de novos plus the $65 million investment in the HomeChoice infusion business. We now expect stock option exercises to generate approximately $80 million, leaving approximately $160 million to $220 million available for additional growth investment, share repurchase or debt repayment. What are we planning to do with our cash flow? Our top priority is attractive growth investment followed by share repurchase and debt prepayment. At times, as we have said in the past, we may be holding cash opportunistically for growth. Finally, as you know, I will be leaving DaVita in approximately one month. It's been great to be a part of this team and I will continue to give DaVita my support. Thank you, Kent. I will turn it over to you.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Hi, thanks Mark. So it was a strong quarter. Certainly, we think '08 is going to be challenging. We faced some strong revenue headwinds and therefore significant earnings uncertainty for you. Wish we could make that different than it is. The bad news is we are in a rough patch with respect to private rate battles and compression. The good news is equally significant. We think that over the long term, there is a good chance of this will create an even larger competitive advantage for us versus the small private equity chains and other small providers. We have developed and are still advancing an arsenal of value-added capabilities which will allow us to offer payors a unique ability to improve quality in a demonstrable way and simultaneously to save their money in total kidney care cost, which is what they so intensely want. And we have the market share and geographic presence which will allow us to offer payors those value-added capabilities with a consistency and simplicity across many geographies that only one other player will be able to do. So given all this, we continue to feel very comfortable with our strong cash flows and attractive long-term return on capital or the prospects for an attractive long-term return on capital. Can we now open it up for Q&A please, operator? Question And Answer
Operator: [Operator Instructions]. Your first question comes from the line of Art Henderson with Jefferies & Company.
Arthur Henderson - Jeffries & Company, Inc.: Hi, good afternoon. Kent, I've noticed in your press release that you talk about discontinuing providing administrative services to a bunch of your locations. Could you kind of explain what's going on there a bit?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Nothing too significant. That gave us a heads up that they might well do this a while ago that we have been working with them for a few years and they have been becoming more and more capable every year. And at some point, it just made more sense for them do it themselves; they could do it cheaper and have more control. They are a good group and they've spent a few years investing. We are happy that we were able to work with them during the time we did.
Arthur Henderson - Jeffries & Company, Inc.: Okay. Okay. And then could you remind us again in that you spoke a little bit about the House bill and there were some issues in the House bill that you didn't like. Can you remind us again what those issues were and what you are doing with the Senate right now in your discussions?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes. Number one is the House bill implemented bundling at a 4% reimbursement haircut. That would be a nightmare for a huge percentage of centers in America. Number two, the House bill would not allow ESRD patients to join special needs plans unlike all other chronically ill patients in America or virtually all others, which would be a terrible thing since these special needs plans could be the answer for transforming kidney care in America where these patients would get a lot of wellness and preventative services, saving the system money and them and their families a lot of clinical grief. Number three, the CHAMP bill had a provision whereby FMC and DaVita would get reimbursed less for EPO than anyone else, which is something that's never been done before that we know of in American healthcare, not for large hospitals, not for large payors, not for large nursing homes etcetera, etcetera. And I think I may be missing one other aspect that we didn't like. LeAnne, go ahead.
LeAnne Zumwalt - Vice President, Investor Relations: Yes, in the lack of an annul inflation adjustment within the bundle.
Arthur Henderson - Jeffries & Company, Inc.: Okay, okay. And the folks that you are sort of talking to on the Senate side, do they seem to be open to working through some of these issues?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, we are having good conversations, and the fact is the House had to do its work quickly, so we are not assuming that they are totally close minded with respect to some of the steps that they put in. They had an awful lot of Medicare issues they were working on. The Senate's had the benefit of another couple of months to think about things and has the benefit of looking at everything the House did. But the answer to your question is we are having good conversations, we the community, that is, with a lot of the folks in the Senate. And so there is a good chance that if they come up with something, it will be something that we will like more and perhaps the House will like more also.
Arthur Henderson - Jeffries & Company, Inc.: Okay, great. One last question. I'll jump back in the queue. You made an acquisition of infusion business this quarter. Could you kind of tell us what your strategy is with respect to that business?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Don't have much to say that's going to be too useful yet. Clearly, it's a business we have never been in, although a couple of us executives have been in parts of it before earlier in our careers. It's a large fragmented, decentralized service business. That's what we do. And so we were able to buy a quality company that's very modest in size, learn the business, and if it turns out to have some significant growth opportunities as it's currently configured, or if there is some subsets of it that could grow and emerge as sort of category killers like dialysis where we offer a truly differentiated package for a particular subset of chronically ill patients and do so in a way with unusual public transparency and the use of disciplined and public clinical protocols. If either one of those two things turns out to be true, the general growth continues or there is specific sub segments, then we'll get an incredibly nice return from the capital required to buy a small platform. Now we are not predicting any of that. We just don't know enough yet. But that was the premise for making the investment.
Arthur Henderson - Jeffries & Company, Inc.: It seems like demand for ambulatory infusion suites has gone up. Could your dialysis clinics be adapted to that in any way?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: I am allowing us to break one of our rules, which is after too many questions it's --
Arthur Henderson - Jeffries & Company, Inc.: Sorry. Sorry, that's fine. Go ahead. That's fine. Thank you.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Could you come back later?
Arthur Henderson - Jeffries & Company, Inc.: Sure, absolutely. Sorry about that.
Operator: Your next question comes from the line of Darren Lehrich with administrative assistant.
Darren Lehrich - Deutsche Bank: Darren Lehrich with Deutsche Bank. Thanks and good afternoon. It sounds to me like you are just wanting to revisit this private pay compression, which you've indicated to us you thought was a little bit more deferred in the last quarter. So based on your comments, it sounds like one of the concerns that you are seeing in your business is that of non-contracted out of network business. And I think the last disclosure we had on this, Kent, was in 2006 that was 13% of the revenue according to the K. So I am wondering if you can remind us what non-contracted revenue is as a percentage of the total year-to-date or in the current period and on the subject where you think it might go to next year.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, Darren, we appreciate the question, but we don't think it's in your best interest for us to talk about what the sense of the revenue is non-contracted versus contracted. So we are going to stay away from that. But can I be helpful in answering some other aspect of the question?
Darren Lehrich - Deutsche Bank: Well, I guess just help me understand if you think between the increasing leverage of payors and them trying to move your business to non-contracted. Which do you think is the more important one for us to think about over the near term?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Well, with respect to the second part of the question, is the fact that payors are bringing more energy, intensity and focus on attacking higher rate, non-contracted business and trying to get it into lower rate contracts, that is a significant deal and that's why we mentioned it. And so we do think our shareholders should be sensitive to that. And what was the other part of that question?
Darren Lehrich - Deutsche Bank: Well, I will just move on then. I guess I wanted to just understand the insurance settlement that you had, where would we find that on the income statement? What line was that in so we can isolate that please?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: It is in patient care costs.
Darren Lehrich - Deutsche Bank: Patient care costs, okay. And we didn't see... my last question here... we didn't see any share repurchase. I guess I just want to revisit that topic and understand where you are with regard to that. I think you raised it for the first time in a while last quarter. So your view of that over the next say quarter to two.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, we are just totally open minded on the subject. In general, as earnings become more uncertain, the offensive and defensive value of having more cash goes way up. And so consistent with our sort of heightened level of uncertainty around earnings, not only ours but the rest of the industry for offensive and defensive reasons, we are going to... we have more of a bias to hold on to cash now than we would have a while ago.
Darren Lehrich - Deutsche Bank: Okay, look forward to seeing you in a few weeks.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: All right, thanks Darren.
Operator: Your next question comes from the line of Bill Bonello with Wachovia
William Bonello - Wachovia Securities: Just can you explain the insurance gains, what is that?
Mark G. Harrison - Chief Financial Officer: Those insurance... they were insurance settlements, and they were associated with Hurricane Katrina and then we had a fire in one of our California facilities.
William Bonello - Wachovia Securities: Okay. So they are truly non-recurring?
Mark G. Harrison - Chief Financial Officer: Yes.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: We sure hope so.
William Bonello - Wachovia Securities: Okay. And then is most of the expected sequential decline in operating income related to the commercial rate contraction?
Mark G. Harrison - Chief Financial Officer: I'm sorry, can you repeat your question again?
William Bonello - Wachovia Securities: Yes. Is most of the expected sequential decline in operating income related to the commercial rate pressure?
LeAnne Zumwalt - Vice President, Investor Relations: Yes, Bill. The sequential decline in operating income is related both to our expectation of private rates as well as increased costs in the fourth quarter which would be normal.
William Bonello - Wachovia Securities: Right. Okay, not an unusual increase in costs though.
LeAnne Zumwalt - Vice President, Investor Relations: Pardon, say that again?
William Bonello - Wachovia Securities: Was not an unusual increase in costs, though, I assume?
LeAnne Zumwalt - Vice President, Investor Relations: Correct.
William Bonello - Wachovia Securities: Costs go up every quarter, right?
LeAnne Zumwalt - Vice President, Investor Relations: Right. Normal cost increases, yes.
William Bonello - Wachovia Securities: Okay. And then just sort of to touch on and I will stop at that. But I guess a little bit where Darren went with his question. Last quarter, you did talk about a little bit of deferral in what you expected with the commercial price pressure. And now it looks like it could whack you $6 million to $16 million as soon as the fourth quarter. Did you just... since the conference call, have some big negotiations or something... how did things kind of happen so quickly?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: I would say two things. I don't know that we actually communicated or certainly intended to communicate any difference in higher rate compression last quarter as we did the quarter before. I think if my guess is if you actually reread all the transcripts, you will see that we used virtually the identical language. So I think that's the... there wasn't... sort of the premise of the question might in fact be wrong. But then on top of that, forgetting that, we did actually and are in situations where we are taking some hits that are a little bigger and/or faster than we thought. But again, I think literally, our language was almost word for word the same.
William Bonello - Wachovia Securities: Okay. I will check that. I must have heard you incorrectly. Thanks a lot.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Thanks Bill.
Operator: Your next question comes from the line of Andreas Dirnagl with J.P. Morgan.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: Good afternoon guys. Let me start with maybe the easy part. In terms of the revenue per treatment decline in the quarter, I think Mark you highlighted lower EPO, lower private rate and lower pharma. Can you sort of give us an idea as to the importance of those to the impact in the quarter?
Mark G. Harrison - Chief Financial Officer: Yes, they were listed in descending order of importance.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: Okay. Look, I have to go back, Kent, to something you just said in answer to Bill's question, which is you sort of said that the premise of the question was incorrect. I didn't know whether or not you meant to communicate it last quarter, but I think it's pretty clear if you go back and read the transcript, they were discussions specifically about the fact that there is a one year contracting cycle in this business and that you had not seen a great deal of commercial pricing pressure up until the point of the last quarter conference call. You yourself were talking about having a strong third quarter and we were talking about the fact actually in response to one of my own questions that there was more or less going to be a delay into the second half of 2008 for commercial pricing pressure. So my question again is why did that change so quickly? And quite honestly, I think that's where you are going to get a high level of frustration from investors in terms of saying that the previous quarter and then kind of coming back this quarter after having raised 2008 guidance and saying well now it's going to be at the lower end. What changed so quickly?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Let's try to hit it piece by piece by piece. The '08 guidance is the same, so $790 million to $850 million, although we have now, which is not unnatural to do as the year progresses, try to provide a little bit of followistic [ph] guidance and that followistic guidance is that we are more likely to be at the lower end than the higher end. We did talk about having a strong third quarter and we did have a strong third quarter, so. And we did talk about... we made a special point last time of talking about how enthusiastic we were in coming off the integration in the fact that we are going back on offense a lot more because all of our human resources were freed up from integration activities to where they could be more externally focused again. And we talked about how our suite of value-added services was going to become more and more important in the next two or three years given what's going in the healthcare period. So those are all the things we did. I don't think we said anything about we now think private rate compression is going to be slower than we did three months earlier. So you want to keep going and we don't want to misrepresent anything.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: Well, again, I think the biggest issue is if lower private rates did have an impact on the revenue per treatment this quarter, there was definitely an idea that came across on last quarter's conference call that given again the sort of the contracting cycle and the way that you saw the contracting that it was clear that this was not going to change sort of quarter-to-quarter but would be a progression over time. And now you are sort of back I think a little bit more saying that it's going to be little bit more front-end loaded as you yourself just said. It's happening a little quicker than you saw. And I'm trying to figure out sort of again what has changed, because you talk about private payors consolidating and getting larger. The industry has consolidated in terms of your own market share and gotten larger. So it appears to be sort of this lock step movement, and we still are always in a position in which there is a relatively small number of patients that you deal with on an individual contract basis, and it's not really a big area of savings for private payors.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Okay. So restate the... so I hear you and all your sort of description of reality, much of which is accurate and therefore just restate the question please, Andreas.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: Well again, I think what I'm trying to figure out is... let me try and put it bluntly in another way. I mean do you think perhaps in retrospect you were too optimistic last quarter in the way that you were presenting the conference call and you wished that you could have dialed it back a little bit in retrospect or are we dealing with something that really has sort of changed here?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: No, I wouldn't say that we would take back any optimism or pessimism from the last call. We read the transcript as we always do before a call, and I think our word choice was consistent and accurate. So as I said to Bill, we have had a couple of incremental things happen in the quarter in the last few months that were worse than what we expected before that are not fundamentally different than anything we have been talking about for a long time or the kind of things that might happen in the future. So there was certainly some incremental change. But I think the biggest fact is we tried to add value by providing '08 guidance earlier in the year because we wanted to make sure that people had the benefit of that. And we gave this $790 million to $850 million range with a lot of discussion of private rate compression. Three months later, we are updating it by saying looks more like the lower end of the range as we get closer to the year. And it is also the case that we have taken a couple incremental hits which will lead the fourth quarter probably to be lower than what we would have thought 4 or 5 months ago. So does that get to it for you?
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: Yes, a little bit. Let me just maybe throw in two other questions just to sort of move on, one of which is maybe coming at it from a slightly different direction. I mean this is a very sort of understandable, theoretically, industry. There aren't a lot of, as you yourself say it, a single DRG industry, sort of dialysis is dialysis. So I think it's valid to make comparisons between yourselves and your other major competitor. And what I am trying to figure out is is there something structurally different in the fact that Fresenius seems to be very comfortable in saying that private payor compression is as it always has been and it doesn't appear to be sort of accelerating and is not something that they are looking at any differently now than they have over the past couple of years. Is there something just structurally different between yourselves and them that makes you so much more worried about it?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, I think that's a good question to ask because that probably will help shed light on it. I would say that we do have a different perspective that they are more optimistic about their ability to protect current rates given the changes that we just described earlier in the call. They are more optimistic about their ability to do that than we are. And so either they are right and we are wrong or we are both right and they are better than we are or we are both right and our mix of business is a little different on a state-by-step basis with us being bigger in some more intense managed care areas, lower revenue. We could... we'll actually take a look at that before Capital Markets. But I think you are right, there is a difference in our point of view versus theirs, and I can fully appreciate how frustrating that has to be for you.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: Okay. Final one before I get back into the queue then. Is the commercial pricing pressure that you are facing something that is across your universe of clinics or is it perhaps more concentrated within, let's say, historic DaVita clinics or historic Gambro clinics?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: To be honest, I don't know the answer. My guess would be it's not different old versus new DaVita. And I am looking around the table; no one knows of any difference. As you know, after the deal, we were able to on average improve Gambro rates significantly. And so it could be that there are still differences and therefore more of the pressures on some old DaVita situations because for so many years we had better rates. So it could be that would be the case. I wouldn't think it would be a powerful part of the answer.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: Okay, I will drop back in the queue. Thank you.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: All right. Well feel free to come back.
Operator: Your next question is from the line of Gary Lieberman with Stanford Group.
Gary Lieberman - Stanford Financial: Thanks. I'll just give you a brief break from some of the pricing questions. Your number of patients grew sequentially at sort of a slower rate than you have for the past number of quarters. But it looks like the number of centers went up at a similar clip. So can you give us a little bit more detail in terms of I guess some of the centers you acquired or opened or smaller in the quarter? Is that a temporary trend or is that something that will persist going forward?
LeAnne Zumwalt - Vice President, Investor Relations: In the quarter, we opened 18 de novo units, which was really, from compared to the last two quarters, about double. We did 10 and 11. So that's part of the answer. And in terms of acquisitions, we did 6 units, we acquired 6 units with about 300 patients.
Gary Lieberman - Stanford Financial: Okay. But I guess the question is going forward on... if I look back sequentially over the past 8 quarters, you increased the number of total patients by about 2000 sequentially per quarter. Going forward, do you think you are going to resume to that level or are we going to see sort of more of... you are up I guess by about 500 from second quarter?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Perhaps the best way to answer is if you look out at '08, we are thinking our non-acquired growth will be close to 4%. So you could use 3% to 4% as a range, but closer to 4% than 3%. And that would be a product of our same-store growth plus how this year's de novos do plus the number of new de novos we do as we proceed through the year. Does that get to the --
Gary Lieberman - Stanford Financial: A little bit. I guess the other, the one final piece of question is when you look at that at the centers that are available for acquisition or that might be available for acquisition, are they typically smaller now than they had been in the past or is the... is it still a similar sort of pool of what's out there?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: I don't know. It tends to kind of go in streaks. I wouldn't... I don't know the answer if the weighted average size of the existing set of independents out there is different from what it was two years ago, I don't know. That is certainly not a dramatic difference. And so given the relatively small number of acquisitions we made in the last six months, I wouldn't want to look at that and extrapolate any kind of market trend.
Gary Lieberman - Stanford Financial: Okay. And then I guess just one follow up to some of the language you used in the guidance where you say that the guidance range for '08 does not capture as high a percentage of the potential outcomes as usual. Can you just give a little bit more detail or granularity in terms of what that means and how we should think about that? And I guess should we think about that in terms of you have a weighted probability for where the operating income will come in or is there a weighted probability for different events that would cause the operating income to come in at different levels? How do you guys sort of go through that process?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, I think it is both. Part of what Andreas's frustration was about is we can't... when we are in a fight with a payor, they are trying to move patients, they are trying to move existing patients, they are trying to redirect new patients. We are in a legal dispute over exactly what rate applies to what patient. So there is a lot of moving parts. And throughout that battling back and forth which can go on for months it's very difficult to predict the outcome, and part of the outcome is literally retroactive because by that point you've got 3 or 4 or 5 months of retroactive dispute over what was the right amount to pay for different patients at different times. And so that creates significantly more uncertainty and there is more going on than before. In addition, we are just in more large negotiations than we have been in other periods. And so if you have something like what happened recently where there are some deals that came in differently than we expected or unfolded differently than we expected and this particular case in a negative direction. But once again, we couldn't have predicted some of that ahead of time. So it fits into both of your categories, and hopefully by giving a couple of examples, that helps make sense of it.
Gary Lieberman - Stanford Financial: That does. I guess just one quick follow up to that. If we were to look back... or if you were to look back and tell us the percentage of commercial contracts that you negotiated in the prior 12 months versus the percentage of commercial contracts that you would expect to negotiate in the next 12 months.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Boy, I don't have a good answer. Perhaps bring that up again at Capital Markets, and by that time we'll have a good answer.
Gary Lieberman - Stanford Financial: Okay, great. Thanks a lot.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Matt Ripperger.
Matthew J. Ripperger - Citigroup: Thanks for all the details, especially about the Washington environment. A couple of questions. First, related to the administrative deals that you are discontinuing, what is the financial impact from that going forward?
LeAnne Zumwalt - Vice President, Investor Relations: The revenue is in other income that are management fee revenue and it's really immaterial.
Matthew J. Ripperger - Citigroup: And related to that, I understand that the regs might be changing in the State of New York, which would allow for-profits to own and operate centers. Is this in any way related to that?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: No, it is not. We worked long and hard for a few years to bring about that legislative and regulatory change.
Matthew J. Ripperger - Citigroup: And in your opinion does that open up a new growth opportunity in New York?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: We hope so.
Matthew J. Ripperger - Citigroup: Okay, great. And then second question is if the physician fix is reduced to one year, can you just comment on how that could potentially impact the likelihood of MSP going into place?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: I think they are pretty independent variables. However, there are some people who will say that if the physician fix goes to one year, the reasons for that are going to mean that in general conversations are going poorly enough that it's less likely that other stuff will be included at all. So that is one school of thought. Other people would just say they are just totally independent events. And I think handicapping between those perspectives gets pretty tough.
Matthew J. Ripperger - Citigroup: And the CBO has scored MSP to 42 months at roughly $400 million over five years?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: No, they scored 30 to 60 months because it was in the President's bill two years in a row, and that score was a little over $3 billion.
Matthew J. Ripperger - Citigroup: Over five years. Okay. And then the last question I had is --
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Did you hear that that the 10 year score was going to 60 months.
Matthew J. Ripperger - Citigroup: Okay. Great, thank you. Last question I had is you mentioned that the PE-owned companies were opening centers at a faster rate than the market growth. Is there any commentary you could provide about which specific region that new capacity is coming on?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: I think not. It's not... there is not a pattern. I am trying to kind of just cycle through where it has happened, and I don't think there is any clear discernible pattern there scouring the country, looking for attractive markets in the same way that FMC and DaVita do. And with a bunch of people with capital doing it, it means more of them are getting built in those markets that have a lot of private patients.
Matthew J. Ripperger - Citigroup: Great. Thanks very much.
LeAnne Zumwalt - Vice President, Investor Relations: And just to be clear, I think I said the management fee revenue was in other income; it's in other revenue.
Operator: Your next question comes from the line of Justine Lake with UBS.
Justin Lake - UBS: Thanks. I guess I will get back at the commercial payor question instead of parsing the conference call. Maybe we can just talk about the tenor of how these managed care issues are playing out. I mean Kent, I think you gave a couple of good examples of how some of these commercial issues kind of come upon the company. I guess what I would like to hear is just... you talked specifically about large payors coming to the table and trying to get in network versus out of network. Is that what's going on here or is it payors trying to do this outside of negotiating with you, like you said, actually steering patients away from DaVita centers rather than sit down at the table and try to hatch out a contract?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, I think it's all the above and of course not just with DaVita but all providers who have rates that are higher than other providers. So it's try to move existing patients, it's redirect new patients, it's try to get rates down on existing patients, it's the normal fall payor contracting menu of techniques. And we have a normal menu of provider responses, the same ones we have been using for years and discussing with you. The difference is now that payors are paying a lot more attention and they are a lot bigger and they are in particular a lot more focused on non-contracted situations.
Justin Lake - UBS: Sure. And the payors that are normally out of network, I guess you would think historically have been... will be smaller, but I guess you are saying with all the consolidation going on, those payors that didn't have scale or members of leverage do now. Are there plans out, or I should say are there providers out there who are more willing to take a contracted patient now is there something going on from a provider standpoint that's changing the pricing dynamics or the contracting dynamics out there?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: I don't think so. We haven't seen any of that.
Justin Lake - UBS: Okay. So there are just... they are able to find been... where are they going to? If they are at a adding network with you and they are staying at a network, is your larger competitors signing a contract or are they going to the hospital or are there enough independents out there to take this patient flow?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Well in a lot of cases, it doesn't take anyone signing a new contract. Let's assume that you and I are both in Des Moines and you have a contract and it's at X dollars per treatment and you had that contract for years. We don't have a contract and we are at 1.2 times X, and we are out of... we are non-contracted. So no one has to develop a new pricing approach in that market because the payor already has a provider with a contracted rate that's lower than someone else's non-contracted rate. It's just that before they didn't work to get the non-contracted person into the contracted center or physician. So it doesn't take a provider coming in and lowering price in order to trigger the event.
Justin Lake - UBS: Okay. So you're saying there are enough contracted facilities out there to absorb the patient flow without anybody doing anything different?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: The answer defers by market, but in a lot of markets, the answer is yes.
Justin Lake - UBS: Okay. So how does that affect the patient and the physician? And I know in a lot of instances the physicians that are at DaVita centers are normally physicians like to favor one center over others. If the patient has to move, does the physician have to go with them? Do they have to switch positions? Is there a push back from the patients on this or the physicians on this?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Typically, the physicians and the patients hate it because they are both very happy with the existing center for the physician that would be their primary affiliation, if not exclusive. But primary would be more typical. And for the patient, they are very bonded to the care givers, and so typically they hate it.
Justin Lake - UBS: Okay. And just one whack at trying to size this, in the fourth quarter, can give us an idea... it sounds like this is the first time you've kind of highlighted where this is truly having an impact on results or expected to have an impact on results in the very near term. Is there any way you can give us an idea of if we kind of... I know you don't want to talk about the absolute number or the absolute revenues from out of network patients, but as far as the impact that you are seeing, can you say if that's... if this is impacting 5%, 10%, 20% of your out of network patients or the contracts or the actions that are being taken by payors? Just give us an idea of how big we are actually seeing here.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: I think the best way to think about that is to look at our guidance, and that is the ultimate manifestation of everything we are seeing that cuts across all types of payors and all types of revenue. And it would not be in your best interest for us to start to parse publicly what you're proposing.
Justin Lake - UBS: Okay, thanks for answering the questions.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Mark Schoenebaum with Bear Stearns.
Mark Schoenebaum - Bear Stearns: I really appreciate you taking my question. I just have some very brief questions. I was wondering if it's possible... I don't know if this is your policy to do so or not, but if possible to quantify the sequential unit volume change in EPO utilization across your clinics and then if you're willing to comment on kind of your expectations for '08 terms of EPO unit volume please?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: We don't comment about unit volume changes. So I wish I could give you that answer, but I can't.
Mark Schoenebaum - Bear Stearns: Okay, all right. And can you comment on your expectations around Medicare reimbursement rates for EPO in 2008, and then that's my last question? I really appreciate you taking it.
LeAnne Zumwalt - Vice President, Investor Relations: Yes, reimbursement rates for EPOGEN, as you know, or in the majority of our patients, are driven by the Medicare program and the ASP plus six system. Beyond that, we don't really comment on '08.
Mark Schoenebaum - Bear Stearns: Great. Thanks again for taking that. I appreciate it.
Operator: Your next question comes from the line of Gary Taylor with Bank of America
Gary Taylor - Bank of America: Hi most of my questions have been answered. I did want to see maybe I could go back to the EPO utilization question, because in the three items you mentioned on the sequential revenue per treatment decline this quarter, you did mention I think pharmaceutical utilization as the second or third. And Kent, I thought you had characterized for us in a couple of prior quarters that the EPO utilization was down in the low single digit year-over-year. If that's accurate, can you tell us if we are still there in that range?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: We had mentioned previously that we expected that the combination of things that are going on could affect EPO utilization in the neighborhood of 2% to 5% and we're experiencing utilization from... 2% to 5% down from Q1 and we're experiencing a utilization decline of approximately 5%.
Gary Taylor - Bank of America: Okay. Thank you. And my other question may sound antagonistic, it's not intended to be but I don't know how else to ask it. But I just want to get a little color, Kent, if you wouldn't mind. I guess four folks in the CFO spot in three years, and I know you have a got lot of financial talent on the team. I'm not concerned about controls, but I'm just wondering from your perspective what does it take to... do you think to get someone in there that will be with you for a while? Has it just been unfortunate personal events etcetera? Anything you could kind of give us on that would be helpful.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Sure. That's a very fair, very fair question. And each situation has been a little different. We have had three CFOs in eight years and then of course acting CFOs in between. And we understand and support Mark's decision to want to be with his family more and the other situations were not the same in that sense. So it's not good to have three CFOs in eight years. It's appropriate for anyone to look at that and be critical and we hope that we find someone who can be CFO with us for a long time going forward. And in the meantime, it is good that a whole bunch of the rest of us have been around throughout the entire period.
Gary Taylor - Bank of America: Okay thanks. So I assume there is a search that will get started right away and you will update us as soon as you can.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes.
Gary Taylor - Bank of America: Thank you.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Justin Boisseau with Gates Capital Management.
Justin Boisseau - Gates Capital Management: All my questions have been answered. Thanks.
Operator: Your next question comes from the line of Ernesto Cruz [ph] with Highline Capital.
Unidentified Analyst: All my questions have been answered.
Operator: Your next question comes from the line of Mark Arnold with Piper Jaffray.
Mark Arnold - Piper Jaffray: Most of my questions have been answered. I just... just on the home infusion business that you guys purchased, do you see any other opportunities like that that you can maybe put some of your cash to work on new growth platforms that you see out there, anything that you could comment on that?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Well, even if we had something in mind, we wouldn't say anything about it to be quite honest. But right now we are happy that we put an oar in that big ocean and we are looking forward to working with that team. Well or we are working with that team to try to figure out how to grow that both conventionally and perhaps unconventionally. And so we are open to other ideas when they come over the [indiscernible] and we've got a couple of ideas of our own, but there are pretty much in their infancy.
Mark Arnold - Piper Jaffray: Do you think there is an opportunity to use... potentially to use that platform for home dialysis in the future?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Well we do think there is going to be more patients getting dialysis at home ten years from now than they are today. And so... and we do know that we are going to learn a lot about different ways of doing home care from the HomeChoice acquisition than we've learned necessarily from ourselves and our competitors in dialysis over the last five years an awful lot of conventional thinking. So the answer to that question would be a yes, and then more broadly, what's very clear in America is that the pipeline of more complex, more expensive pharmaceuticals and biologicals that are best administered from both a clinical and economic point of view in a more disciplined and protocol and evidence based way than the historic just let docs do it in their offices or first patients in the hospitals. Those big facts sort of the jet stream economic facts of basic pharmaceutical and biological trends mean that there could be some very nice opportunities if you have both the kind of nationwide, inexpensive care distribution networks that we have in dialysis combined with a very sophisticated full service ability to do a lot of things at home that we might be able to put some very attractive value on the table for our patients, docs, payors and pharma companies. So up at 15,000 feet, that whole pitter patter sounds good to us, and now we are busy working at ground level seeing if any of it can come true.
Mark Arnold - Piper Jaffray: Okay.Just one another question, and this may just semantics, but earlier on, Kent, you had in your opening remarks you had talked about for 2009 if you don't get a Medicare update and an MSP extension that those 2009 numbers could be flat to down. Is it going to require both in order to see any growth in 2009 or do you need to get at least one of them? I just want to make sure I wasn't reading too much into the fact that you said both of them.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: I actually don't know exactly what I said, but it wouldn't necessarily take both. Of course, it would depend how big the Medicare rate increase or the MSP extension was and what all else is going on. Our objective there was just to provide people a bit of a window into a longer timeframe to emphasize the importance of having those things happen, at least one of them, in a healthy, robust way. So that was the spirit.
Mark Arnold - Piper Jaffray: Okay, I understand. I won't read that much into it then. Great. Thank you very much.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Thanks.
Operator: Your next question comes from the line of Mark Effiasiaby [ph] of PIMCO.
Unidentified Analyst: Hi there, Mark Effiasiaby. Just following up on earlier, you were talking about managed care focusing on out of network people, out of network patients. And in one of the responses, you talked about patients essentially being taken... moved to other facilities, other providers. And so it sounded almost like that's what's more going on than renegotiating price on that particular patient. So that's what I was confused about because if it was the people leaving your centers and it would seem to show up in organic treatment growth being down sequentially rather than price. But obviously you have renegotiation going on also in addition to potentially losing volume. But could you maybe go into more detail on the split between renegotiating price on patients and then actually losing patients?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, I don't think that would be a good idea because the fact is all of the above goes on all the time. And in any one quarter, it could be more of one versus the other, both more victories and defeats and more of one versus the other. And whether someone is getting existing patients to move or redirecting new patients, it would have the same impact within a very short period time on our non-acquired growth numbers. And so you can see from our non-acquired growth numbers that we continue to clip along in that regard. So I don't think breaking it out would be good because the answer in any one quarter could be misleading. And the fact is it's all a combination of the same negotiation. So how much of what happens is hugely affected by what we agree to or don't agree to with the payor as opposed to some basic trend.
Unidentified Analyst: Okay. Okay, that's fair, thank you. One other thing then, just on sort of the financial policy, capital structure policy. Given the CFO departure here, you've stated your goal before of giving essentially a leverage range as your optimal kind of target cap structure. Is that something that is really kind of a moving target with the CFO or is this something that you and the Board kind of feel is in place and would be essentially forced upon on the new CFO? The reason I ask is the CFO is obviously kind of the steward of the capital structure and so on. Can we expect some sort of radical change here with who you get or is that something that's almost set in stone at DaVita?
Mark G. Harrison - Chief Financial Officer: Yes, this is Mark. I will take that question. The 3... the sweet spot of 3 to 3.5 times leverage is a sweet spot that makes sense from a weighted average cost of capital basis. So it's fundamentally about analyzing what brings the company to the lowest cost of capital. And that hasn't changed at this point. So it's really not a subjective decision per se.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: And then what changes around that, because we have been using the same number for a long time for the reason that Mark articulated and then depending on how the external world moves around. There is times when we are above it or below it. So we went down as low as two or so. We wanted to keep our powder dry because we were hoping we could buy Gambro. Then we went up to 5 or so when we brought Gambro, but we did it in a period when be felt unusually confident in all the near-term cash flows. And so we were comfortable that there was very, very little probability that we couldn't zoom right back down towards our range.
Unidentified Analyst: Okay.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Even when we were at 2 and even when we were at 5, we said the same thing about 3 to 3.5 for the reasons that Mark mentioned.
Unidentified Analyst: Okay, guys. Thanks a lot.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Balaji Gandhi with Oppenheimer.
Balaji Gandhi - Oppenheimer: Good afternoon. Just a question on HomeChoice. I know you talked about it in the press release of being neutral to EPS. I was just wondering it would contribute at all to operating income next year and just generally speaking, what type of operating margin or range we can expect for that business.
Mark G. Harrison - Chief Financial Officer: Yes, when we acquired HomeChoice, we expected it to have a neutral impact on EPS. And obviously our reasons for acquiring the company were to, as Kent has articulated earlier, to learn the space and then also it's matched up with our core competencies etcetera. In terms of operating income, the impact right now is expected not to be material.
Balaji Gandhi - Oppenheimer: In terms of margins, is there a range you are willing to share with us just to help us model that to '09 maybe?
Mark G. Harrison - Chief Financial Officer: No, I don't think that would make sense at this point, not until... it would not make sense for us to do that at this point given the materiality of the business.
Balaji Gandhi - Oppenheimer: Okay, thank you.
Operator: Your next question comes from the line of Hamlen Thompson with Westfield Capital.
Hamlen Thompson - Westfield CapitalManagement: Thanks guys, I appreciate you taking the call. And sort of similar to Gary, I don't want this to be an antagonistic question, but I feel the need to ask it. Kent, you talked about referring to guidance as a proxy for us to understand the pricing pressures. But for six years now, you've guided to numbers significantly below where you've ended up on the following year. So I'm trying to understand a little bit why this would be different than the prior six years guidance?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Number one, the overage versus guidance has not been very significant. If you want, we can bring all the historical analysis to Capital Markets. That might be a good idea. So the directional fact is true, but it's not terrifically a power quantified point. Second is what we intended to do is provide guidance and then continue to refine it, just sort of giving you a rolling set of expectations. And so if you pick out the earliest guidance, then the long-term variance might be bigger, but that's because we try to add value by offering earlier guidance than some other people do. Third, the fourth quarter estimate would be one reason to think that this time is different because the pattern of the fourth quarter versus the third, even though we told you the third quarter was going to be very strong is still different from other years, Q4 versus Q3. And then fourth, I think it could also be that the guidance itself of what the year-over-year numbers are is different on a relative basis, meaning the actual '08 versus '07 difference compared to '07 and '06 or '06 and '05. That might be a fourth reason. So I think it's a very fair question. So that's why I am trying to give you an analytical and logical response to it as to why you might want to pay attention to the guidance.
Hamlen Thompson - Westfield CapitalManagement: Thank you. My second question would be can you just help me understand how you think about trading on price for market share?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: We still on this point have the same point of view that we have voiced for years, which is in this business with low fixed cost, high variable cost and some stickiness in referrals, it is not a good idea to be aggressive in thinking that lowering prices is going to get you more market share. So that has been and remains our point of view. That doesn't mean that there is not going to be across the entire country some exceptions in some particular markets and some particular years. But our basic point of view remains very firmly held and is reflected in all of our contracting strategies.
Hamlen Thompson - Westfield CapitalManagement: So what is happening here is you are getting the same price increases you historically have or that you are giving up some pricing?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: In some cases, we are giving up pricing and not getting any more volume. So we didn't give up pricing to get volume; we gave up pricing to keep volume.
Hamlen Thompson - Westfield CapitalManagement: Okay, thank you guys. I very much appreciate it.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Thank you.
Operator: We have follow-up question from the line of Andraws Dirnagl with J.P. Morgan.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: Yes, just actually to follow up on what Ham was asking, Kent, you sort of started to answer it. Maybe you stopped. Are you basically seeing the commercial pricing pressure in the form of reduced pricing increases in the most... for the most parts or are you actually taking pricing cuts? And I realize that there is both; I trying to figure out which one is more common.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Right. The incidents of pricing cuts is up.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: And is that the majority of the decrease or is it that you are just taking smaller increases?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: We haven't run that number; we will by Capital Markets. My strong hypothesis is that the cuts is absolutely the dominant factor.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: Yes. And sort of my final question for the night has to do with sort of what you talked about just a couple of questions ago in terms of cash. You yourself just highlighted that sort of the last time that you saw the company sort of move towards and even well below the lower end of that sweet spot was right before the Gambro acquisition because you really wanted to buy it, you saw that opportunity was out there. I think Mark highlighted that in terms of your uses of cash going forward, clearly, sort of profitable reinvestment is sort of the number one priority. You've made a small in a sort of ancillary business in the U.S., but you're highlighting that that's very unlikely to be sort of a major move that's going to be more sort of an organic growth and a progression. My question is is there something out there that you're building up this cash and you're reducing you debt level or your debt to EBITDA? And if so, I know you're not going to comment on any transaction, but what's the timeframe that's involved? I mean how much cash do you have to build up before you finally say you know what, this is too much and there is no opportunity; therefore, we are going to do a share repurchase.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, fair question, and we'll just have to keep revisiting it every quarter because it is the case in the home business. We want to learn it and partly we want to learn it is to see if you want to be bold because to do a bold move in a business you've never been in, I mean the corporate cemeteries are filled with the graves of those who've done that. And the opportunity to learn with a quality team to decide if you want to do something bold is just wonderful. And so it's not going to happen in three months, but hopefully will figure out in not too long a lot about that business. The primary reason that we have a bias to hold more cash now is from what I said earlier, Andreas, which is just earnings uncertainties. And if private rate compression kicks in in American dialysis with more intensity than other people are expecting, there could be some significant dialysis growth opportunities as people have a tougher time making it.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: That leads to the obvious question, which is are there FTC issues for any more domestic acquisitions?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, but that's just a question of... that's a mathematical issue and in some cases just a partnership issue where you recognize upfront that you can't keep everything.
Andreas J. Dirnagl - J.P. Morgan Securities Inc.: Okay, thanks.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Jill Grueninger with Mason Street Advisors.
Jill Grueninger - Mason Street Advisors: Hi Kent. I just wanted to ask about the rate compression. Is the rate compression an actual cut in the in network per treatment rates or is it from payors trying to move patients in network, and so you take a cut when they go from out of network to in network?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, it is both. We've had some actual contracts that moved to lower rates in that we have had some lower rates that come from people moving from out of contract to in a contract because we decided we'd rather have more patients at a lower rate than fewer patient at a higher rate.
Jill Grueninger - Mason Street Advisors: And which of those is the predominant?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: On that one, I'd rather wait longer because in any given quarter the answer can move one way or the other. So give us the next, whatever it is, 12 days to the Capital Markets, to see if there is a sort of consistent answer. If I had to guess for the industry over the next year, I would guess it will be more of the moving into contract than the other. But please don't hold me to that as a promise.
Jill Grueninger - Mason Street Advisors: And where you are finding the actual rate compressing for the in network patient, I would assume that's where you don't have the 70% or 80% market share that you have in the some markets, is that correct?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: We do find that the stronger geographic presence the more value we can deliver. So that often correlates with getting a higher rate. And if we are a tiny bit player in a community, you are right, that can lead to a lot less negotiating leverage. And then what can get misleading about that, however, and the reason I am sort of choosing my words carefully is in a lot of cases we deal with a payor across several markets. And so if we are dealing with them across 10 markets across 5 states, it could be that in 3 we are very strong in our geographic presence and 3, we are very average and in 4, we are low. And then you start to get results that don't fit with sort of the paradigm of market share correlates to price.
Jill Grueninger - Mason Street Advisors: Okay. And just one last question is what percentage of your patients would you say are in areas where you have the dominant market share?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Well we don't have dominant market share anywhere in America. And we have about 27% overall, and it gets pretty tricky to define market because let's just take good old Des Moines again or some city, Peoria that for one payor we might literally be negotiating Southern Illinois rates; another payor, it might be part of an entire Illinois negotiation; anther payor might put those dialysis centers into the Tri-State Midwestern region. And so suddenly when we look at a dialysis center, what's our market share, well, it's actually a part of three different markets depending on the payor and the level of aggregation in their contracting. So that's just another big sort of hurdle to giving a simple analytical response.
Jill Grueninger - Mason Street Advisors: Okay. Can I just ask one more question?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Sure.
Jill Grueninger - Mason Street Advisors: What percentage of your patients are out of network?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, and that's something we don't think is in your best interest for us to disclose.
Jill Grueninger - Mason Street Advisors: And why is that?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Once again, I just... we just don't think it's good for us to go down that path.
Jill Grueninger - Mason Street Advisors: Maybe then is there a way to look at how that's changed over time in out of network patients instead of looking at the absolute number?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: That may be a good idea, and so let us think about that between now and the Capital Markets. And please remember, when we have all these discussions when we don't answer something because I think it's not in your best interest, it's because we don't think it's in your best interest because we are in a lot of negotiations. Otherwise, it would be very fun to go through the analysis together. But you wouldn't want us to do that and then think we were foolish in a way that hurt the share price.
Jill Grueninger - Mason Street Advisors: Okay. Thank you.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: All right. Thanks.
Operator: We have a follow-up question from the line of Bill Bonello.
William Bonello - Wachovia Securities: Hey, just a couple of more quick ones. The balance sheet allowance as a percent of gross AR is up about 140 business points year-over-year. Can you just comment on what's driving the need for that extra level of reserve?
LeAnne Zumwalt - Vice President, Investor Relations: Yes. You know, Bill, it's not a need for necessarily extra levels of reserve. I wouldn't characterize it as that. It's timing more of the write up of contractional adjustment. And I can spend a little more time off line if you like, but it will fluctuate based on the timing of write off.
William Bonello - Wachovia Securities: Okay. And just I get that. I mean the only thing about that is that if I go back from December of '04, it was at 11.4% and it's pretty much gone up every single quarter sequentially for the last three years.
LeAnne Zumwalt - Vice President, Investor Relations: Yeah, that's fair. I think Gambro obviously had some impact on that, and we'll take a look at it and I'll get back to you with some answers.
William Bonello - Wachovia Securities: Okay, that would be --
LeAnne Zumwalt - Vice President, Investor Relations: But there is really no change in our practice, our policy that really is more to do with timing of write off of balances etcetera.
William Bonello - Wachovia Securities: Okay. And then just two more questions, and in the negotiations with the managed care payors, I guess I had been optimistic that you might take the right declines like you are taking but that you get something in exchange for that, maybe longer term visibility into pricing or a more comprehensive suite of services that you could provide or what not. I mean is there anything that's working out in your favor or are you pretty much just losing the battle?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: No, I am glad you brought that up Bill because we do on some of these, we are getting multi-year arrangements that are going to be very stable, that have a CPI and a well defined CPI, a fairly designed CPI. Now there is going to be the sharing of hospitalization and other data which will allow us to take our value and the relationship to a whole another level. And so in some of those cases where rates are lower, we got some other things in the deal that we think have a very nice net present value potential associated with them.
William Bonello - Wachovia Securities: Okay, that's very helpful. And then just a final thing, I guess it's a sort of policy easy question, but just as the government's debating MSP, I mean aren't they going to be a little less sympathetic to the payors if the same payors who say hey, we don't want to provide insurance benefit to our own members also are squeezing what they are paying for the members they are paying for?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes.
William Bonello - Wachovia Securities: Okay.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Your analysis is exactly right that we hope people notice that rates are coming down.
William Bonello - Wachovia Securities: Good. Thanks.
Operator: Your next question comes from the line of Ilan Chaitowitz with Redburn Partners.
Ilan Chaitowitz - Redburn Partners: Good evening, this is Ilan Chaitowitz from Redburn Partners in London. I've got just two questions. Firstly, is there any cause or [ph] link between the decline in private payor rates that you are reporting and the lower utilization of EPO in your business? And secondly, we see recently in FMC's presentation that they have got a percentage of patients with a hemoglobin level above 11 grams per deciliter at about 80%. I think your equivalent metric is currently 83%, and that's come down 1% from the last quarter. Would it be wrong to assume that you've got another two or three quarters of incremental declines in EPO utilization to get to a more normalized level?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: The answer to the first question is that yes part of the reason for the decline in revenue per treatment is the drop in EPO utilization. The answer to the second question is it is we don't know because it's difficult to predict what the portfolio physicians will decide. But in general, our physicians have had a lower percentage of patients below 11 than other providers for a long time and so if one were to assume we were to move to the same place that FMC is, that would be first time that would have been the case in many years. Now again, we can't predict how all doctors are going to respond to all the different anemia stuff going on and the gap between FMC and DaVita, for all I know has remained exactly constant as both of those numbers have moved up, which is to say the percentage of people below 11.
Ilan Chaitowitz - Redburn Partners: Thank you. And I don't think I asked my first question properly. Let me reask it. There has been an explanation that the attrition in private payor rates has come from buyer power, so consolidation and using bigger purchasing power to reduce rates. My question is is an additional factor contributing to what you are reporting as private payor rates declines from lower EPO utilization?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Right. And my answer... I did understand the question, and my answer is yes that when EPO utilization goes down both our Medicare revenue per treatment goes down and our private revenue per treatment goes down.
Ilan Chaitowitz - Redburn Partners: Thank you very much.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes. Thank you.
Operator: We have a follow-up question from the line of Ernesto Cruz [ph].
Unidentified Analyst: I have a couple of questions actually. First is Fresenius experienced a sequential increase in average revenue per treatment in North America of $4 whereas you experienced a $4 decrease. And I believe that they also said that they had experienced the decrease in EPOGEN utilization on a sequential basis between the two quarters. What do you think accounts for the different directions and movement in average revenue per treatment?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes, we don't know enough about them to answer. So it could be they're doing better. It could be that they are getting higher rates and we have higher volume growth and those things match up somehow. Could be any number of things. I think you could probably have to watch it over a longer number of quarters. But the short answer is we don't know enough about them to know.
Unidentified Analyst: Okay, second question is in order to get flat to down EBIT for 2008, given that you are getting a full year out of your de novos and acquisitions from this year that you are going to have de novos next year that there is natural growth in number of patients over time. And that at worse, your Medicare rates should be flat and that given what happened at cardio panel, you might actually see a rebound in EPO utilization and that your margins have been growing. I would think that you would need a massive fall in commercial pay rates given that there... a minority of your revenue in order to actually drive flat to down EBIT. So would you be willing to share sort of the order of magnitude assumption about how the size of that hit in order to give that math of work?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Yes. We'll do that at Capital Markets as we've always done. But the short answer is that yes, it does take some material private rate compression for it to happen. But there is a lot of other stuff going on, and once you pause it, no Medicare rate increase and then perhaps lower private rate increases, some private rate cuts, normal labor pressure, stuff going on with pharmaceutical pricing. It doesn't take too long before you get to where we are. So Capital Markets I say will give you a pretty satisfactory parsing of that issue.
Unidentified Analyst: Okay. Is the... are either of the new EPOGEN-like drugs going to be on the market in 2008 and such that they might create pricing pressure for Amgen?
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: We don't think so.
Unidentified Analyst: That's not built into your assumption that there is going to be some competitive activity at Amgen? Okay. And... okay, no, I think that's it. Thank you.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: Thank you.
Operator: There are no further questions.
Kent J. Thiry - Chairman of the Board and Chief Executive Officer: All right. Well I thank everyone for your interest and we hope to see a bunch of you at Capital Markets where we can go through a longer deck and so the analytics hopefully become clearer and clearer. In the meantime, we'll keep working away. Thank you.
Operator: This concludes today's DaVita third quarter earnings conference call. You may now disconnect.